Operator: Good afternoon and welcome to the Beazer Homes third quarter 2009 fiscal earnings conference call. Today’s call is being recorded and will be hosted by Ian McCarthy, the company’s Chief Executive Officer. Joining him on the call today will be Allan Merrill, the company’s Chief Financial Officer , and Bob Salomon, the company’s Chief Accounting Officer. Before he begins, Leslie Kratcoski, Vice President of Investor Relations, will give instructions on accessing the company’s slide presentation over the internet and will make comments regarding forward-looking information.
Leslie Kratcoski: Thank you. Good afternoon and welcome to the Beazer Homes conference call on our results for the quarter ended June 30, 2009. During this call we will webcast a synchronized slide presentation. To access the slide presentation, go to the Investor home page of Beazer.com and click on the webcast link in the center of the screen. Before we begin you should be aware that during this call we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties, and other factors that may cause actual results to differ materially. Such risks, uncertainties, and other factors are described in our SEC filings including our annual report on Form 10-K for the year ended September 30, 2008. Any forward-looking statements speaks only as of the date on which such statement is made and except as required by law, we do not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. New information may emerge from time to time and it is not possible for management all such factors. Ian McCarthy, our President and Chief Executive Officer, and Allan Merrill, our Executive Vice President and Chief Financial Officer, will give a brief presentation after which they will address questions you may have for the duration of this one hour conference call. We are also joined by Bob Salomon, our Chief Accounting Officer. In the interest of time and allowing everyone a chance to ask questions, we do kindly request that you limit yourself to one question and then one follow up. I will now turn the call over to Ian McCarthy.
Ian J. McCarthy: Thank you Leslie and thanks to you all for joining us this afternoon. During the third quarter of our fiscal year, the economic recession continued to weigh on both the overall housing industry and our operations. However, we have continued to experience sequential improvement in sales trends. In addition to normal seasonal patterns, we attribute this increased demand to attractive interest rates, historically high housing affordability, and Federal and State tax credits which will entitle more prospective buyers to purchase a new home. On the other hand, we remain cautious as rising levels of both unemployment and foreclosures, coupled with the scheduled expiration of the Federal Home Purchase Tax Credit, make it difficult to predict when and to what extent the housing market will sustainably recover. As such, we continue to maintain a disciplined operating approach and remain focused on generating and maintaining liquidity. Our financial results for the third quarter continue to reflect the difficult market and economic conditions that not only we and our peers continue to face, but many other industries and companies as well. Nonetheless, we remain committed to our operational and strategic priorities to move our business forward for the benefit of the company’s stakeholders. These priorities include generating and maintaining sound liquidity, effectively allocating capital and resources, addressing our capital structure, positioning for a return to profitability, and differentiating Beazer to our customers, all with the name of generating profitable growth and shareholder value over the entire housing cycle. Let’s now review our financial results for the third quarter of fiscal 2009. For the third quarter, total revenue declined 51% from the same period in the prior year. Total gross profit margin for the quarter before impairment and abandonment charges, was 7.8%. Even after impairments and abandonments, we generated a positive gross margin of 2.5% compared to a gross loss of 10.4% for the comparable period in the prior years as a result of lower inventory impairments and option contract abandonment charges. Sequential decline in gross margins before impairment and abandonment charges from a level of 10.8% in the second quarter this fiscal year is due in part to a $2.4 million warranty accrual to repair homes in two communities in Florida where subcontractors installed defective Chinese drywall. In absolute dollars, SG&A declined 38% year-over-year but was still higher as a percentage of revenue due to lower revenue volume. Loss from continuing operations was $0.72 per share compared to a loss of $2.85 per share in the prior year. For the third quarter homebuilding revenues declined 48% resulting from a 43% decline in home closings and a 9% decline in the average selling price compared to the same period over the prior year. Home closings were down across all segments. Excluding exit markets from which we had only two closings in total, the decrease was 33% in line with other industry participants. Net new home orders of 1,537 for the quarter represents a 5% year-over-year decline in markets where we maintain a presence and a 37% increase from the second quarter of this year. As indicated in my opening remarks, we believe the quarter’s level of sales are a reflection of increased demand resulting from attractive interest rates, historically high housing affordability, and tax credits. Furthermore, our annual June promotion which focused on our eco-friendly features as well as on educating buyers about the benefits of buying a new home now was quite successful. Looking ahead, we recognize that the inherent seasonality in our business will most likely lead to generally lower levels of quarterly net orders over the next two quarters than we realized in the previous two quarters. However, we expect that the year-over-year comparisons for the next two quarters should be posted. The cancellation rate for the third quarter improved to 23% compared to 29.8% in the second quarter of this fiscal year and 36.8% in the third quarter of the prior year. [Resulting] backlog as of June 30 was 1,867 units with a value of $431 million. Although this represented a decrease over the prior year of 27% excluding exit markets, it was a sequential improvement from the second quarter of this fiscal year of 46%. I’ll now turn it over to Allan to further discuss our financial results.
Allan P. Merrill: Thank you, Ian. As Ian discussed earlier, we have been very focused on increasing efficiency in our business and diligently managing overhead expenses. Slide 11 provides a breakdown of our SG&A expense since the reported aggregate number is significantly impacted by the various legal, severance, and settlement expenses we have incurred over the past several quarters. By removing commissions, which are a purely variable component, as well as G&A costs related to severance, legal and professional fees, and stock compensation, we arrive at an operating G&A so to speak totaling 13% of revenue in the third quarter and 15% of revenue year-to-date. Compared to the second quarter with a comparable ratio of 18% and the first quarter ratio of 16%, we have seen real improvement due to the overhead reductions we took in January. Based on current run rates, we estimate that operating G&A as we have defined it here will yield a full year level in the low teens as a percentage of revenue. Next I’d like to spend a few moments on the various non-cash inventory related charges incurred during the third quarter. As with our previous filings, you will find additional disclosures as it relates to impairment charges by segment in our 10-Q which we expect to file tomorrow. Inventory impairments totaled $10.8 million in the June quarter. Of that amount, $6.3 million related to property held for development and $4.5 million related to land held for sale. Impairments on held for development inventory were primarily in the west segment. The June quarter impairments represented 117 lots in four communities. During the June quarter, we also incurred lot option abandonment charges totaling $1.1 million, almost entirely in the east segment and we incurred impairments in joint ventures of $4.8 million. The relatively lower level of impairments realized this quarter are a reflection of the improving sequential sales trends we have seen resulting in better sales absorptions per community and some signs of stabilization and pricing. Our land position as of June 30 totaled just under 33,000 lots, 81% of which were owned and 19% of which were controlled under option. This reflects reductions of approximately 17% and 29% from levels as of September 30, 2008 and June 30, 2008 respectively. Excluding property held for sale, approximately 41% of our remaining owned lots were either finished lots or lots upon which home construction had commenced and only 1% was in the form of raw land. We continue to exercise caution and discipline with regard to land and land development spending. During the third quarter of fiscal 2009 we spent $31 million on land and land development compared to $63 million for the same period a year ago. As we indicated last quarter, based on our current sales pace, we have relatively few active communities that will require significant land or land development spending in 2009. In light of this and with our intense focus on maintaining liquidity, we continue to expect land and land development expenditures will be below last year’s level of $333 million by more than $100 million. We continue to maintain strong discipline with respect to new home starts and speculative inventory. As of June 30, we had only 234 unsold finished homes and 504 unsold homes under construction, representing declines of 22% and 56% respectively from year ago levels. The modest uptick in unsold homes under construction from the March quarter is due to both normal seasonal patterns and our anticipation of somewhat higher year-over-year sales this quarter and next. As part of our efforts to address our capital structure, during the quarter we repurchased $115.5 million of senior notes in open market transactions for an aggregate purchase price of $58.2 million or an average price of 50% plus accrued and unpaid interest. Slide 17 provides a summary of the face amounts repurchased by issue. These repurchases resulted in a gain from the extinguishment of debt of $55.2 million and a corresponding increase to our tangible net worth. At June 30 our total debt stood at $1.6 billion, decreasing about $156 million since the beginning of the fiscal year. As a result of our current liquidity position and reduced working capital needs in the current economic environment, we don’t foresee any need for cash borrowings on our secured revolving credit facility during this remaining term. As a result, we have decided to amend and restructure the facility. As a part of this restructuring, the current secured revolving credit facility was reduced to $22 million and will be provided by one lender. The restructured facility will continue to provide for future working capital and letter of credit needs collateralized by either cash or assets at our option. We also entered into three standalone cash secured letter of credit agreements with banks to maintain the pre-existing letters of credit that had been issued under the current secured revolving facility. At closing on August 5 we elected to secure all of our letters of credit using cash collateral which required additional cash in restricted accounts of $37.8 million. Due to this restructuring we recognized expense of $3.3 million of previously capitalized unamortized debt issuance cost as of June 30, 2009 which is reflected in other expense in our income statement for this quarter. We are not announcing any additional recapitalization steps at this time. We have hired a great time to advise us, Moelis & Company and Citigroup, and we expect to take steps in the future consistent with our primary objectives, namely to protect our liquidity, increase our net worth, and reduce total indebtedness. At June 30, 2009, the company had cash and cash equivalents of $465 million compared to $560 million at March 31, 2009 and $314 million at June 30, 2008. In addition, we had restricted cash of $11.3 million to sufficiently collaterialize outstanding letters of credit under our current secured revolving credit facility. Last quarter I shared our target of ending the year with a cash position comparable to the level at the end of last year before the impact of any potential liability management transactions. Because we have now committed approximately $60 million to repurchase senior notes, we now expect total year end cash to be approximately $525 million. Our unrestricted cash balance should be about $475 million after taking into account cash back letters of credit. I’ll now turn it back over to Ian.
Ian J. McCarthy: Thanks, Allan. We are encouraged by signs that some negative housing market trends may be moderating both at the local and national level and further encouraged by our improvement in sales. At the same time, key macroeconomic indicators remain mixed. As such, we will continue to use caution and discipline in running the business so we are hopeful we’ll see further recovery in 2010. Finally, I’d like to express my appreciation for the support of our many stakeholders as we continue to work through these challenging times. We are committed to returning the company to profitability upon a market recovery for the benefit of all these stakeholders. I would now ask the Operator to open the lines up for questions. Thank you.
Operator:  (Operator Instructions) Your first question comes from David Goldberg – UBS.
David Goldberg – UBS: First question is on the debt repurchases and how you guys determined how much of each maturity you were going to buy and how you’re thinking about that. I know you’re not going to talk about the capital structure changes necessarily [inaudible] but just kind of how you figured out what you’re going to buy and how you’re thinking about it moving forward.
Allan P. Merrill: Obviously there are a lot of moving parts there. The yields on the securities were a factor. The maturity wallet that starts in 2011 was a factor. Capturing discount was a factor. Availability of sellers was a factor. So I would say that there isn’t a single answer to that. We tried to be opportunistic and make a good use of shareholder funds.
David Goldberg – UBS: Next question is on the commissions that you outlined in the SG&A slide. It looks like the commissions as a percentage of ASPs are going up slightly each quarter if I did my math right. It looks like it’s going from about 4% to about 4.1% in second quarter and now about 4.2%, 4.25% this quarter. I’m just trying to understand if that’s a pattern that you guys are noticing, that you’re paying maybe more outside commissions or you increase the level of incentives for outside commissions.
Allan P. Merrill: It’s certainly not increasing incentives but what it is reflecting is a slightly higher rate of realtor co-op in certain markets.
David Goldberg – UBS: What do you think you’re paying outside realtors versus internally in terms of percents of ASPs?
Allan P. Merrill: I think outside realtors typically are getting 3 points and the internal sales force, depending on the market, works on different types of programs but it’s substantially below the 3 points we pay on the outside.
Operator: Your next question comes from Michael Rehaut – JPMorgan.
Analyst for Michael Rehaut – JPMorgan: This is actually Ray [inaudible] for Mike. First question, going back to the commentary on the expectations for year-over-year order growth over the next two quarters. Hoping you guys could kind of break that out just like an order of magnitude. Are we talking about 5% growth, 10% growth? Then I guess any type of regional market color that you’re seeing here, which markets are getting better, which ones are getting worse at this point.
Ian J. McCarthy: We can’t give percentages for that but what we did say there is we’ve had a good quarter in June. We’re very pleased with our quarter in June. We’ve had reasonably stable July. In fact year-over-year we’re slightly ahead of last year’s July but we’re at a lower level based on seasonality so that the level of orders we expect in the September quarter and the December quarter will be lower than the June quarter but we think that the comps are achievable and we’re hopeful that we can actually get to a point where we can beat the comps for last year for those two quarters. I’d say we’re feeling slightly better about the markets. The feeling of the moment is California did well in the June quarter with the state tax credit there combined with the Federal tax credit. We steamed that fall back a little bit. The tax credit is basically expired now in California. Texas we’re doing quite well. In Phoenix we’ve had a real pick up. The level of pricing there is quite low but the absolute number of sales has picked up quite substantially. I would say then the Midwest and Mid Atlantic for us are the other two markets that are quite stronger this time. We’re really hopeful that we’re going to see some real pick up in those markets.
Analyst for Michael Rehaut – JPMorgan: Some of the markets that are maybe not performing as well as you had imagined?
Allan P. Merrill: I’d say the southeast, particularly the Carolinas and down into Florida, those are the markets that are still struggling. Florida of all of them came into this slowdown right at the end and I think it’s going to take longer to come out of it so I would say those are the markets that we feel are more difficult. Las Vegas is doing quite difficult for us as well at this time. But I’m quite encouraged that markets like Phoenix now really seem to be showing some activity.
Analyst for Michael Rehaut – JPMorgan: I appreciate that. Just a follow up question. What was the benefit from prior period impairments in the quarter?
Allan P. Merrill: I don’t have that number. It is something that we typically provided at the end of the year. It’s clearly a fairly significant number in aggregate but I’m sorry I don’t have it in front of me.
Operator: Your next question comes from Dennis McGill – Zelman & Associates.
Dennis McGill – Zelman & Associates: Just a couple of quick ones. Have you talked about any limitations on how much debt you can buy back?
Allan P. Merrill: We haven’t talked about it. The revolving credit facility would have had some bearing on that but since that facility has been amended and restructured, we don’t have those types of limitations.
Dennis McGill – Zelman & Associates: Help me understand when we think about where your current gross margin is. Certainly it’s below where the industry is and when we think about where your impairments are versus the industry we haven’t seen quite as much impaired relative to the peer group and if you feel like the impairments so far are in line with the market and with your pricing, when are we going to start to see that flow through the gross margin line because I would think the more you’ve gotten impaired, the closer we should be seeing to something and maybe the high teens range or maybe even higher.
Allan P. Merrill: I’m certainly not going to predict the future gross margins. I’m sure you have keyed in on this. In our results and others the quarterly comparisons right now, particularly sequentially, are brutally tough to do. There are so many things that are flowing through. We’ve had warranty and insurance settlements. We’ve had close out communities. There are a litany of things and so it’s still tough to really discern a pattern. You’re absolutely right though, directionally as the impairments stop, they do flow through. Again, probably stating the obvious, but the thing that has happened historically is you’ve had these impairments, prices have fallen in the subsequent periods, so while you would have seen some flow through of the impairment that you previously took, you gave it back in subsequent price reductions. As I mentioned in my comments, I think we are seeing signs of price stabilization and that’s the necessary precondition both to limit future impairments and to start to actually see the flow through in an increasing gross margin. If we continue to see positive sequential and in year-over-year sales trends, then the margin expectations for next year certainly improve.
Dennis McGill – Zelman & Associates: So it would be fair to say the margin deterioration sequentially this quarter sounds like had a lot to do with some of the communities that you were closing out of so that may not be an impact going forward assuming pricing stays flattish?
Allan P. Merrill: That’s true and there were also things in the second quarter, nothing really significant but I know we had a little insurance settlement and a warranty claim and an item in the second quarter that might have made that a few basis points higher. That’s why I say the sequential comparisons become very very difficult because they’re going to be particularly as you’re dealing with fewer units and therefore small numbers as opposed to large numbers. You can start to see distortions from kind of kind of anomalous events so you get lost trying to going quarter to quarter making the comparison.
Operator: Your next question comes from Susan Berliner - Bear Stearns.
Susan Berliner - Bear Stearns: Allan, I guess I just wanted to follow up. I just wanted to be clear. There are no restrictions anymore on how many bonds you can repurchase since you got rid of the revolver?
Allan P. Merrill: The only restriction we have is on the redemption of sub-debt. There aren’t any that I’m aware of that relate to the senior notes.
Susan Berliner - Bear Stearns: Just potentially thinking ahead, if you were to issue secure debt in the market, besides the mortgages on your balance sheet, would you take out the $22 million for the revolver as well as the LC facility or would the LC facility be ignored?
Allan P. Merrill: I think, and it’s dangerous for me to do that, but I think what you’re trying to get at is the secured debt basket.
Susan Berliner - Bear Stearns: Exactly.
Allan P. Merrill: The cash secured LCs wouldn’t count against that.
Susan Berliner - Bear Stearns: I guess I was wondering, just one last question, on your land, I know you gave us a breakdown of finish and raw etc., can you give us an idea geographically where it’s concentrated now, be it Florida or wherever?
Allan P. Merrill: We continue to be well-distributed in each of our segments. There are some particular divisions that are lighter than others but I wouldn’t say that there’s a disproportionate weighting in any one area. The markets that were historically heavier land markets were in the west and in the Mid Atlantic and that continues to be true but we have both owned and option positions distributed in each of the markets.
Operator: Your next question comes from James Wilson - JMP Securities.
James Wilson - JMP Securities: One of my questions I guess is related to specs and I was wondering if you could maybe go through what you have, what kind of spec standing, how much roughly came through in closings in the quarter and if there was a material margin difference versus build to order homes that might also have impacted where your gross margins were?
Allan P. Merrill: I guess a couple of things. The number that we had, 234 finished specs at the end of the quarter, and I think it’s just under 500 under construction. The number of finished specs is well under one per community which is a very low number. The margin question is sort of interesting. There is no question that a long dated, an aged spec, will carry typically a lower margin and that’s probably a truism in this industry that would go back a long time. Interestingly though, shorter dated specs, so called move in ready homes, don’t necessarily carry a discount to a to be built home any longer because the buyers are, all the reasons that Ian mentioned, reluctant to commit, scared of the overall housing market, when they’re ready to go, they want a move in ready home, so together with expiring tax credits and other things, there’s actually a premium really associated, or can be associated with those. I would just say that really changes the dynamic with specs. We haven’t leaned into that any significant way and decided that the new strategy is to go build 1000 specs but the fact is they don’t carry the same characteristics that historically I think we would have seen. So you saw just a little bit of an uptick for us seasonally between the March and the June quarter really reflecting the fact that the sales trends that we had in June that continued into July gave us the confidence to have a few more sticks in the air.
Operator: Your next question comes from Alex Barron – Agency Trading Group.
Alex Barron – Agency Trading Group: I wanted to ask you on your slide about the SG&A. Are any of those line items that you guys broke out there that are going to drop off going forward?
Allan P. Merrill: The severance expense we certainly hope drops off and the legal and professional fees won’t drop off in the form of going to zero because we have said we will continue to cooperate with the authorities and so we have some, I would say, irregular expenses. I can’t very well call them non-recurring technically because they continue, but they’re into predictable, they’re not a core part of the operations. They will eventually go away but I would be reluctant to forecast that right away. So that’s one of the reasons for this table, to allow us over time to show that things that will appear in the aggregate SG&A line, if you break it down, if you can really isolate where it came from, the parts that we can control, we are squeezing tighter and tighter and you can kind of see that in that table. The area of severance and legal and professional in particular, I won’t say they’re entirely outside of our control but there are lumpy aspects to them that we thought investors would benefit from being able to analyze.
Operator: Your next question comes from Lee Brading - Wachovia Securities.
Lee Brading - Wachovia Securities: I was wondering, you bought back, you mentioned $115 million bonds during the quarter. Were there any bond repurchases subsequent to quarter end?
Allan P. Merrill: No.
Lee Brading - Wachovia Securities: To follow up on some of the spec discussion, you talk about the aged spec being fairly low margin. Looking at your 234, can you give us an idea of the age of that 234?
Allan P. Merrill: We’ve really done a good job keeping that tight and clean so I would tell you that is not with respect to those 234, that’s not a significant issue for us at all.
Lee Brading - Wachovia Securities: You’re making a little less than one per community and I’m hearing from others, some of them two to four per community. If you could just give me an idea of what your thoughts are around that. Are you comfortable around this one area or do you think you should in this environment, you feel like you’re seeing things get a little better, put more stick in the air.
Allan P. Merrill: I’ll give you two non-answers instead of one answer. The first non-answer is that as you look at those numbers around specs per community, different people say different things about finished or under construction. Obviously if you look at our under construction and completed, we’re over one, and so maybe that normalizes the comparison a little bit. The second non-answer is that it hugely depends on the community and depends on the market. There are clearly markets that we have move in ready home buyers predominantly. There are others that are still strongly to be built environments. So kind of taking a macro level and putting a number out there isn’t that helpful and it’s not the way we manage the business.
Ian J. McCarthy: I’d just add to that that obviously liquidity and maintaining our liquidity is the primary goal at this time so we really do control our specs very tightly. I think as we see the market improve, we may well try to have a few more specs out there. At this time we really try to control that so we maintain our liquidity.
Lee Brading - Wachovia Securities: In the Q4 historically you have a seasonal pop as far as looking at… I look at backlog conversion, others do, you might not, but historically you have a pop in the back log conversion in Q4 from a standpoint. I was wondering if we should expect to see something similar to what we’ve seen like that in the past?
Ian J. McCarthy: We definitely will. Q4 for us is trying to bring those spring sales and summer sales out to closing to our year end so I think you will see something comparable. You’re going to see a good conversion ratio there in this Q4.
Lee Brading - Wachovia Securities: My last question is, I know that your can rate has improved and I think you mentioned it was 23%, I was wondering if you could just talk… when you’re seeing the cans now, what kind of can are you seeing, what I’m trying to get at is what do you see out there from unemployment? That’s what we’re talking now. You hear the economists talk about unemployment figures. How much of that is affecting the cans right now?
Ian J. McCarthy: I think we’ll have to give you just a commentary on that. Certainly unemployment is a factor and it’s been a factor in certain markets, California I would say has compounded the effect of the tax credit going away there and then the furloughs and the concern in our Sacramento market in particular, we’ve definitely had some concern there about job losses. So I say it definitely is a factor, but I’d say more important than that, than the cancellation rate, is the ability to get financing. Whether that’s due to the buyers themselves not being able to get it or whether it’s because the appraisals are not coming through at a level that can support the contract, and I think that’s the biggest factor at this time so we’re pleased with the way we’ve got that down and I think that’s an important factor, I think it shows health in the market to see that can rate come down but I would say that certainly we have to be aware of the unemployment factor and we have to be aware of the effect of foreclosures still coming through the market affecting comps.
Operator: I will now turn the call back over to Ian McCarthy for some closing remarks.
Ian J. McCarthy: Thanks very much and I’d just like to take this opportunity to thank all of you again for joining us today and remind you that a recording of this conference call with the slide presentation will be available this afternoon in the Investor Relations section of our website at www.Beazer.com.